Operator: Good morning, and welcome to the Ryanair H1 Results Call. My name is Adam, and I'll be your operator for today. [Operator Instructions]. I will now hand over to Ryanair Group CEO, Michael O'Leary, to begin. Please go ahead.
Michael O’Leary: Okay. Good morning, ladies and gentlemen. Welcome to the Ryanair H1 Results Conference Call. We're joined by all the members of the team from different parts of the globe. And we'll -- I'm going to run through quick highlights. As Neil Sorahan, our group CFO, as usual, to give you a comment on the financial highlights, and then we will maximize the time for Q&A. So, you'll see this morning, we reported H1 after-tax profits of EUR1.8 billion, 18% lower than the prior year H1 profit of EUR2.18 billion. Highlights at the half year were traffic, strong growth, 9%, to a record of EUR115 million. It would have been higher, but for the repeated Boeing delays. At the key theme, with average fares fell in the half year by 10%, but the trend is improving. We were down 15% in Q1, down 7% in Q2. We'll turn to Q3 on -- when we look at forward guidance. We have 170x B737 Gamechangers in a 608 aircraft fleet at the end of the half, and that had risen to 172x by the end of October. We have five new bases; 200 new routes opened this summer. The approved OTA partnerships now cover over 90% of all OTAs. These protect consumers from being overcharged by OTAs. We give OTAs direct feed into the ryanair.com website, but in return, they guarantee that the customer will get only to win our prices. We also get the e-mail accurate cost of e-mail and accurate customer credit cards. So, we have a direct relationship with every cost in our booking through approved OTAs. I think again, our strong balance sheet has enabled us to take a very strong fuel hedge position. We're 85% hedged for the second half of FY '25 at $79 a barrel. We've jumped on recent points of weakness to increase our FY '26 cover to 75% at $77 per barrel. We completed the $700 million share buyback in August. And as of today, we've done just over 300 of the -- 30% of the EUR800 million follow-on share buyback. We expect that pace to continue, will probably run out until about April, May of 2025. And the Board on Friday confirmed the interim dividend of EUR0.223 dividend per share, has been declared and to be paid in February 2022. Looking back at the half year, and revenues were resilient, rising 10% to EUR2.74 billion, rightly ahead of our 9% traffic growth. I think the key metric that operating costs performed well. They rose 8%, lagging behind the 9% traffic growth as the field savings offset higher staff and costs to make our two in part Boeing delivery delays. We found ourselves gearing up for Boeing deliveries last summer, but being over crewed, over staffed and then finishing about 5 million passengers short of where we were regionally going to be. Yet if you take the half year, operating costs rose slightly less than traffic. The balance sheet remained strong. Gross cash at the end of the half year is over EUR3.3 billion. Net cash was just EUR600 million at the 30th of September. And that is despite paying out a EUR900 million in CapEx, EUR900 million in share buybacks and a EUR200 million final dividend in H1. We own our entire Boeing 737 fleet, that's 580 aircraft. It's fully unencumbered. This, I think, materially widens Ryanair's cost advantage over our competitors in Europe, almost all of whom now works both to expensive finance leases, financing costs and leasing costs. As I said, we expect completing the EUR800 million follow-on buyback program sometime in May 2025. When we set that Ryanair will have returned almost EUR9 billion, including dividends to shareholders since 2028 -- since 2008, and we bought back approximately 36% of our original issued share capital. In terms of fleet and growth. So, at the end of October, we had 172x Gamechangers in our fleet. We now expect the remaining 9 Q3 deliveries after deliveries due in September -- or in October, November, December will be delayed into Q4. So, we're hopeful we get those January, February, March, if the Boeing strike settles reasonably quickly. However, there's no doubt that we're going to now miss some of -- when we take those nine aircraft in Q4, that leaves us with 29 more aircraft to take for summer 2025. We had originally penciled in to deliver those this winter, we now think it's reasonable, and we have no guidance on this, but to delay about half of those aircraft. So, we think we get about 15 of those 29 aircraft prior to the end of June. In other words, in time for summer at 2025. But half of them will be delayed into the winter of 2025, 2026. And accordingly, that means I think it's sensible now we begin to walk back our original -- our scheduled traffic. Originally, for FY '25, we had expected to carry 205 million passengers, because of the Boeing 737 we've had to walk that back to 200 million. In fact, I think we come in a shade just under 200 million in the full year. The original target for FY '26 was 215 million passengers. We're now going to have to walk that back, I think, to about 210 million, with the possibility that it may have to get shaved more, it might come back to 208 million, entirely dependent on whenever Boeing settled the strike and then can give us some reasonably accurate update delivery on aircraft. We are working closely with Boeing. I speak to Stefano on a weekly basis, spoke again on Friday. There's the labor voting on the new deal today and hope to have the results tonight. I'm impressed, by the way, the work is out by have done. They're there on the ground in Seattle. You can lift the phone. You could talk to somebody. That is something that was from day one under the previous management. And he is busting it good trying to get deliveries. In fact, even when the strike they brought in management, we had two aircraft ready for delivery when the strike started. They brought in extra management to those two aircraft out to us during October. So, they're doing everything they can and they have our full support. I think though this is a positive, generally, for the industry. We are going to be short aircraft ourselves for FY '25. We're going to be more towards aircraft in FY '26. And looking forward, experience this year, we were surprised by the price softness. We've come off 2 years in summer '23 and summer '24 of 20% price increases due to post-COVID recovery. This year, we were a little bit surprised by the price softness. We think it's due to spending tightness in Europe, certainly the impact of the OTAs and the fact that we're 5 million passengers short on our original target growth. We are constrained in our delivery next year. We know that the rest of the European industry is heavily constrained because of the Pratt & Whitney repairs, and the OEMs are still going to increase production. I would be, medium term, very optimistic on where pricing is going to go because of these capacity constraints. I saw some of the coverage that today in Ireland and the U.K., all bit of a negative, Ryanair would be sure scaling back its growth ambitions. We will still get to our 300 million passengers by 2035 if Boeing gets the MAX 10 certified, but we're going to have to grow a little bit slower in FY '25, FY '26. Once we get the balance of the 29-outstanding aircraft, and that might be into summer of 2026, then we'll be back up to our target of 225 million, 230 million passengers. But I think these constraints should be positive for pricing into summer '25 summer '26. As you're aware, the Board is reviewing the area of control. We confirmed that over 49% of Ryanair issued share capital is held by EU nationals in September. It's appropriate to review the potential variation of either the ownership restrictions, which prohibits non-EU nationals acquiring our ordinary shares; or the voting restrictions, which is how you exercise control. That process continues. We've consulted thus far with about 60% of our shareholders. We think it will take another 3 months or 4 months that we would hope to -- the Board would hope to make a decision on that, whether we -- sensible to vary the ownership or the control, sometime in the first half or the middle of 2025. Going the key element then, which is outlook. So, at this point in time, and I say this, we have about 70% of the bookings in the system for Q3. We have only about 11% of the bookings in the system for Q4. So, we have very little visibility. However, we're pretty sure at this stage we're going to finish somewhere between about 198 million to 200 million passengers, the midpoint, just over 199 million, up about 8% on the year, subject to no worsening of the current Boeing delivery rate. Unit costs are performing well, and we now expect full year unit cost to be broadly flat to our fuel hedge saving strong interest income and some modest aircraft delay compensation will largely offset ex-fuel cost inflation, most notably, crew pay and productivity increases, higher handling and ATC costs, and the cost that inefficiency we suffered this year because of repeated Boeing 737s fleets. Forward bookings into Q3 are strong and decline pricing appears to be moderating. Again, what does that mean? Well, if again, if I go back, Q1 pricing was down 15%, Q2 pricing is down 7%. Hugely prices will be down by less than that, but it will be slightly down. So, I think it's more single-digit decline. The trend, I think, is favorable. But then we get into Q4, and Q4, we will have a very challenging prior year comp because half of Easter was in is Q4. None of Easter is in this year's Q4. But at this point in time, Q3, the bookings are strong, pricing is -- the price declines are moderating, but we still have 30% of Q3 bookings to take, and those will be the key close-in Christmas and New Year bookings, with zero Q4 visibility, and the quarter won't benefit from last year's early Easter. That would make the prior year Q4 comps down. And therefore, I think it's too early this morning to provide any meaningful FY '25 PAT guidance. The final outcome will be certainly to avoiding adverse developments during the remaining 5 months of the year, especially with the risk of outbreak at the conflict in Ukraine and the Middle East, repeated ATC short staffing and capacity restrictions, and our further Boeing delivery delays. And Neil, can I hand over to you with any comment in -- I think the highlights you'd like to throw over their people's attention to on the balance sheet and the P&L.
Neil Sorahan : Okay. Thanks, Michael. You covered it fairly well, but I'll reiterate. Pleased with how costs went in the first half of the year. The hedging that we locked in for the year is delivering good savings, but we're focusing across all of the other lines as well. And that's enabled us now to improve the guidance on the full year unit cost to broadly flat. Balance sheet is rock solid. BBB+ investment grade rating. Over 580 aircraft onward, which gives us a massive advantage over everybody else. And another reason as to why the cost advantage and the cost gap between us and everyone else is widening because we're financing ourselves through cash when everyone else is out there raising expensive leases and expensive debt. Distribution is going well. We're about 1/3 of the way through the EUR800 million buyback, as Michael said. That will hopefully get us out the summer of next year. We've now locked in some modest savings on fuel hedging into next year, which is very important in this current very volatile oil market that we're in. And then on CapEx, while we're still guiding EUR2.3 billion CapEx for this year, having spent about EUR1 billion in the first half of the year. The reality is that some of that is now likely to slip into next year when we've got greater visibility on where and when the aircraft are coming in from Boeing, we will revisit that. But it's a timing issue more so than anything else. I don't think really, Mike, have much more to add.
Michael O’Leary : Okay? let's all go to Q&A, please, and spread some of the questions around the wider management team here.
Operator: [Operator Instructions]. And our first question comes from James Hollins from BNP Paribas. James your line is open. Please go ahead.
James Hollins: Just one for me, actually. So, feel free to spend twice as long as you would have done on this. I think the ATC situation, I mean, clearly been discussed at length, while set in my investors. Maybe any chance you could quantify what the ATA situation was? Not just in Q1, I mean, it seems to me, from your comments, you very much saw that lasted into the summer. So, we start to think about, I guess, fiscal '26 and the not easy comps. But just as much detail as you can on -- and I think you did note it was probably a bigger impact than you had thought. So just I'd love to hear your thoughts on this maybe as well.
Michael O’Leary : I'll give you an intro and Eddie will talk or maybe Jason McGinnis as well. I just missed the OTA -- impact the OTA, online travel agency dispute lasted -- it started last November. Now it's undoubtedly took 2 or 3 -- 2 points off our load factors in the third and fourth quarters last year. But it did hit us this summer, by more delay, I allowed for. I mean the one reason I was a bit specific is I didn't see any of these bookings going to our competitors. I mean there was no notable bump in load factors or yields of either easyJet or Wizz or the others. But I think we've seen a strong bump in both bookings and load, and for some of the tour offers this year to easyJet, to Wizz, et cetera. So, I think some of that traffic did migrate away from the OTAs and Ryanair on to the kind of tour operator site. I would, by the way, however -- was it the right thing to do? Absolutely, we would fight with the OTAs again tomorrow morning and with anybody who tried to interpose themselves between us and our customers, particularly when they -- by imposing themselves, they are overcharging our customers and giving us fake e-mails and fake payment details. Now I'm pleased to say the relationship with over 90 the OTAs is now excellent. We've only two standouts who have not yet stepped to the approved OTA deals. In other words, two OTAs who are still overcharging our customers, and that's booking.com, although they are small in volume terms in Europe; and e-Dreams in Spain. Other than that, everybody else has signed up. So, I think if I -- and I'm guessing here, if we're looking at how much of our decline in pricing, if you take our pricing in Q1, Q2, we're down 10%. I think it's reason for now to believe that maybe up to half of it is the OTAs and half of it is pressure on consumer spending. I don't think you can get away from the pressure on consumer spending issue. We went from 2 years with pricing going up 30%, 20%. We did expect to moderate this year. I mean I thought we'd be up between 5% and 10%, and we were down 10%. Sometimes it happens. There's nothing wrong with the model. And I would always sacrifice short-term fares for market share growth. And we have taken enormous quantities of market share from competitors across most of the major European markets this year. Maybe because they will constrain repairing back with the engines or have been, I mean, in the case I think of easyJet, they still haven't recovered their pre-COVID traffic volume, we're operating at 40% more than our pre-COVID traffic. So, I would always sacrifice short-term pricing and short-term profitability for long-term -- for growth and longer-term gains. But I think the OTA was more damaging than I had first allowed for. The good news going forward is the forward bookings into next summer with the OTAs are already very strong. Their pricing is well above our average pricing, but we would expect that because they're taking kind of their bookings summer holidays next year, whereas we're booking -- taking bookie into the winter period. And we would have a much easier prior year comp next year. When we get to Q1 of next year, we will both have -- these two would be in Q1. We should have a strong flow forward bookings coming from the OTAs. But ensuring that all of those customers who are looking through those OTAs are now getting real Ryanair prices. The OTA is free to levy a separate fee, and that's fine. But we are getting the customer e-mail and the customer credit card details, so we can interact with each customer as well. So, I think that has been a very successful outcome for us, but we've -- no doubt we've taken a short-term pain this year. Looking forward, as of today, we are about 2% stronger booked into summer, if you take the summer season of 2025, than we were this time last year. Now it's on a pretty tiny sliver of bookings, like -- but to be 2 percentage points further ahead on a very small number is quite strong into next year. And we will have, I think, a weaker prior year comp by the time we get to summer 2025 as well. Eddie and maybe Jason, if you just want to add something to that?
Edward Wilson: Yes. It's Eddie. I mean the difficulty, James, sometimes is that when you're looking at comparisons, and when you look in prior years with OTAs, like it was impossible to who was doing what coming through the pipes because they were using other intermediaries to scrape. But what we tend now is, as Mike has pointed out there, about summer booking. There are -- OTAs don't -- are not a sort a homogenous set here, they do -- they operate in different ways. But we can definitely see the holidays ones that do package holidays are -- they book further ahead and at higher fares. And if you look at that as compared to last year, well, then if we weren't getting those bookings, then we were obviously chasing those to get a load factor. But the good thing as well is that the OTAs it's not just a question switching on the pipe here either, because some are better than others in maximizing what's coming through there. Like the ones more tech-focused have got up to speed much more quickly and others haven't. But there is no doubt that we can see the forward booking input, the summer ones. They're ones that bookings that we didn't get in January, particularly, of last year. Because when this happened broadly in late November last year, you're pretty much sold into December. So, it was really those summer bookings in January and then the effect of obviously the other factors of the sort of macro wages like interest rates and consumer sentiment and all that, that into it. But I echo as well what Michael said there, the hard decision was to do is the right thing to do. And we can see that reflected in customer issues, like some of the hardest customer issues we had. When you get to the sort of volumes that we have now, people showing up being charged check-in fees because the OTAs have just sold on this and couldn't care less at that stage about like what the problems were business upon consumers at airports. So broadly like echo, it was absolutely the right thing to do, and some are better than others. We still a little bit to go with some of the OTAs in getting and spilling back up to where they believe they were comparable with last year. Jason?
James Hollins: If I take Q1 to Q2, so Q1, the fares are down 15%. Now I think as much as 1/3 of that was probably the first half of Easter moving into prior year Q4. So, if you step back Easter, I'm doing back of the envelope here, I think Q1 like-for-like is down somewhere between 7% and 10%. Q2, down 7%. Q3 was down -- is down by a figure of between 0% and 5%. How much of that do you think it's OTAs and how much is just the consumer spending under pressure, and I know it's a [indiscernible], so...
Edward Wilson: Yes, for me. Yes, I don't disagree. I think it's about half and half, the interest rate inflation environment. I think last Christmas into January; the consumer was certainly weaker. I could see it in the volumes. Particularly, as we said previously, across leisure and Canaries. But lots of the markets continue to book very well, like Central and Eastern Europe was strong throughout the whole period. load factors through to summer very strong. I'm very happy to have the summer it finishing out, particularly with a very strong October midterm. Hopefully, that continues into December, but a little bit too early to tell in terms of Christmas. And I agree, like summer '25, very early days so far, but I'm very happy with how it's selling so far. All the markets selling well. And I think that is an indication in terms of the capacity environment as well. I think we are booking earlier this year than they have been on the Leisure and Canary.
Michael O’Leary : Thanks, Jason. Thanks, James. Next question, please.
Operator: The next question comes from Harry Gowers from JPMorgan. Harry please go ahead. Your line is open.
Harry Gowers: I've got two questions, if I can, probably both for Neil. Just on the ex-fuel costs, I mean, I think we should start to annualize some of the pay increases put through at the back end of last year. So maybe a little bit more color on what you're seeing for ex-fuel cost per pax, specifically over winter or on a full-year basis. And then related to the first one, on the delay compensation received in the first half, maybe you're able to quantify the total, and will that continue to be a bit of a tailwind maybe for ex-fuel coin the next 12 months or so?
Neil Sorahan : Okay. Harry, I'll start with the second one first. We're not going to quantify the delayed compensation. It's modest as we call out in press release. In the first half of the year, coming between ourselves and Boeing and then falls well short of putting us back in the money for the 5 million plus passengers that we've lost. Will there be more in H2? The likelihood is yes. It will depend very much on how many aircraft we get -- and then we get them. But again, it will be relatively modest in the overall scale of things. On unit costs themselves, total cost has done a very good job. Absent the Boeing compensation, we've seen some improvements on other ex-fuel cost lines in the second quarter of the year. We hope that will continue into the third and fourth, which is why we're guiding total unit costs broadly flat rather than marginally down, which we had previously. We would hope that next year with the slower growth, we won't be over-crewed, as was the case this year. We've enough crews for about 20 more aircraft. That's hopefully the case into next year. And as you rightly said, as we get out into kind of the first quarter, calendar quarter of next year, we'll start to annualize some of that productivity pay that had come through. But it's too early to put a numbers on where our unit costs are going to be next year. We haven't done the budgets yet. But I think we've done a good performance this year and pleased that we're guiding broadly flat, and locking in with the 75% fuel hedging that we have modest year-on-year fuel savings.
Michael O’Leary : Thanks, Neil. Thanks, Harry.
Operator: The next question is from Stephen Furlong at Davy. Stephen your line is open.
Stephen Furlong: Michael, I guess, two for me. Just where you -- just looking at the allocation of growth, Michaek, I think you called out some scrapping of aviation act of Sweden, Hungary various regional airports. So, you just might talk about that where you see that going. And yes, well, maybe I'll start and then I'll come back to another.
Michael O’Leary : Okay. And again, I'll ask Eddie to join. Look, I mean, we are too light on aircraft. So, we're doing a lot more churn. We're taking aircraft away from airports and our countries who are using taxes. The two big call, I'd say, would be the French budget. Now we're small France, even though we're the number 3 airline. We're taking capacity away from France. We're reducing capacity in Germany, where the government hasn't got a clue. They're not alone raising aviation tax, but also ATC fees and security charges. And even Lufthansa Group are now reducing flights significantly, which is about 1,000 Eurowing flights in Hamburg. I'm medium term optimistic on Germany. I think they'll eventually realize that either this government hasn't got a clue or this government is going to change its policy and start lowering air travel cost in Germany. And then we had the U.K. budget last week, where they increased APD, a new labor government committed to growth, got elected on a solid mix strike growth and the first thing to do is tax, increased taxes on air travel on and off [indiscernible] and the periphery of Europe. So, we again -- and I think these plays into the capacity constraint story for us next year, early going to be to deliver of between 205 million and 210 million passengers and more churn. And I think you'll see us moving some capacity out of Germany, France and the U.K. next year. We're not able to grow in Dublin because of the traffic cap. And we will be redeploying that airport capacity into cutting/scrapping taxes, Hungary, Sweden, who have scrapped their aviation tax entirely, which is, I think, a sign of what's to come. The home of flight gaming is now stopping aviation tax. They worked out that that's not the way to grow their economy. And Italy, we're having significant success for a number of the bigger in Italy, Portugal, Venice, Julia and we, hopefully, [indiscernible], where Prescare airport is. They've scrapped the 650-municipal tax. And we think there's a reasonable prospect. The more Italian regions will scrap this at Italian finance pension tax. And wo we're redeploying earning aircraft, we will get probably pretty 20, 25 aircraft growth for next year, but our growth -- if we go from 200 million, 210 million, it would slow down to about 5%. So, there would be more churn. And again, a lot of that is being -- we're having some very interesting discussions with our -- some of our airports. So, we're saying, look, you're at the bottom of the list of our kind of -- either your one of our higher-cost airports or are your -- and airports are getting very -- I think realizing that there are about aircraft and capacity, and that's making them -- with nobody else in town and nobody else coming over the hill, because of capacity constraints in Europe, and also getting a lot more aggressive. So, I think you'll see us reallocate a lot of our -- a significant proportion of our aircraft capacity next year to those states and those airports who are lowering taxes and lowering fees to incentivize growth. And I think that's why the traffic happened in Dublin is so damaging. We've just opened a second runway. It takes to Dublin's capacity to 60 million passengers. But we have a potent of a transport minister, a green transport minister who thankfully is not running for election because he probably wouldn't get reelected anyway. We would hope the election is going to be called next week, that the new government -- the first thing the new government would do would be scrap the tax. We had a very, I think, good hearing in High Court on Friday. The court is going to give a ruling today at 2:00, and we are pretty confident that it rule -- that there will be a stay on the IAA's ability to limit plots next year while pending an appeal to the Europe. And all our [indiscernible] is pretty black and white. You said that Dublin airport traffic gap is contrary to EU law, and I think it will be scrapped by the EU courts. I don't know whether you want to add to the, Eddie. And maybe, Juliusz, come in on the Dublin cap.
Edward Wilson: Yes, Michael, I think you covered most of the geography there, except that I would say that, post-COVID, we would have probably expected airport in terms of traffic recoveries have moved earlier. But now that it has started in places like Italy, where you have taxes coming out. Or you look at just one example of Sweden whereby SAS are much smaller than they were at post-COVID -- or pre-COVID. Norwegian largely back in Norway, what does Sweden do for trapping and they figure it out, they or the taxes, we put in 30% more based aircraft. And I think that's really going to start to play out across Europe, where when these airports now realize there's nobody else coming. So, I think the sort of the cracks are beginning to come. And we see one other area where we put in a lot of capacity as well are states like Morocco, where we've got 14 or 15 based aircraft down there, close to 10 million passengers. So, I think there's a lot more to come, but I think you've covered all the geographies there, Mike.
Michael O’Leary : I think one of the points I'd make in, we're looking at the U.K. market next year and we expect to take our traffic down from about 55 million to about 50 million passengers. We're not going to close routes. What we're going to do is we have enormous capacity in the U.K., but we're going to trim out frequency. And I think you're going to see us across a lot of our bigger markets trim frequency next year, switch that capacity to those countries who are scrapping aviation taxes or lowering access costs, and airports who are incentivizing growth. And I think, again, I will be -- I'm optimistic on pricing next year, apart from the fact that we'll have a pretty weak prior year comp is that we will be constraining frequencies. We will not be closing routes. We will not create vacuums that I don't think we've any competitors in Europe anyway, but we're certainly not going to be inviting anybody else into markets where we are currently operating. But trimming capacity on a lot of markets out of Ireland because of the traffic happened in the U.K. because of the insane rise in APTs, I think will be very good for our pricing next year. And again, if you come back to Neil Sorahan's point, if you look at the cost discipline in this business, the cost discipline is unmatched by any other European airline. If we get any bump in pricing next year, you're going to see an awful lot of that flow straight to the bottom. Juliusz, do you want to give us anything on the Dublin cap?
Juliusz Komorek: Thanks, Michael. Maybe just to say that it is accepted by all parties, that there is a serious question of EU law to be answered in relation to the cap. And this is reflected by the fact that the court case on Friday was argued, not only by Ryanair, but also by Aer Lingus and, importantly, an association of American airlines who are concerned about the risk of losing some of their slots in Dublin. So, it's hard to be definitive and hard to predict the outcome of court process, but we are fairly optimistic that the court will see sense in our arguments and grant the stay that we requested, which would result in growth being possible in Dublin next summer.
Michael O’Leary : Stephen, what's your second?
Stephen Furlong: No, I'll leave it at that, yes.
Operator: Next question comes from Jaime Rowbotham from Deutsche Bank. Your line is open. Please go ahead, Jaime.
Michael O’Leary : Jamie, go ahead. Okay. let's move on. We'll come back to...
Operator: Next question comes from Muneeba Kayani from Bank of America. Muneeba your line is open. Please go ahead.
Muneeba Kayani: Good morning. It's Muneeba from Bank of America. So, I just wanted to follow up on the earlier question around OTAs, and you said that over 90% have been converted. What exactly does that mean? Like are they all -- kind of technology, is it fully kind of integrated at this point? And then secondly, are you -- where are discussions with the 2 remaining ones, do you think you would be able to get them on board as well? And then a question for Neil around cash return and buybacks. And in the video, you mentioned that there could be more. Like how have you thought about the amount for share buybacks, the EUR700 million and the EUR800 million that you've announced this year? And kind of any framework for thinking of the amount into next year? Thank you.
Michael O’Leary : Thanks, Muneeba. Maybe I'll take the first and Neil to give you the second. So, on the OTAs, we have -- if you take the range of OTAs where making bookings on our system prior to last November, we've now signed up over 90% of them. There's essentially only two remaining OTAs who have not signed up to our deals, who are still overcharging, or inflating our airfares and overcharging consumers. So that is Booking.com, but they're very small by volume in Europe. These names are bigger by volumes in Europe, particularly in Spain. We have multiple court cases ongoing with both. We've won in -- we're booking in the States in Delaware. We've won numerous cases against the E-dreams in Europe outside of Spain. We have lost a couple of defamation actions in Spain, although generally, they've been ex-party deformation actions where we haven't been -- weren't able to make our case and we would be appealing those measures. I expect -- I think it's inevitable that both Booking and eDreams will eventually sign up to our approved OTA agreements, because I think it's been very difficult using the transparency of the web to be able to be overcharging your customers, while your competitor OTAs are selling them directly Ryanair's low fares with no kind of hidden charges or no inflation. But I think the critical thing is, so far, we protected over 90% of OTA customers, and we expect that figure will rise towards 100%. Over what period of time? I don't really know. What else, I think it's more fair on the OTAs. Unless Jason or Eddie, you want to comment on it? And then Neil, you answer the second question.
Edward Wilson: Yes. Sorry, Michael, it's Edward, like what you have is that like without naming the specific one, those that are more tech-focused companies, are much better at maximizing the APIs that we've put into them already because they've got the tech resources on the other side, and some aren't. And they're still coming up to speed, particularly because as part of the OTA agreement, they can't put on extra charges on things like ancillaries. So, they've got to be doubly sure that they are reflecting the transparency in pricing. So, there's some way to go on some of them where they maximize it. But those that are selling out summer holidays for next year in terms of packages where it's a little bit more complex on their side, where they got to put hotels and all that as part of it, they're generally getting back up to where they would have been. So, they're at different paces. But like I'm not going to give you color on how many -- like what ones are behind the curve, it's just about their tech resources on the other side.
Michael O’Leary : Okay. And just before I hand on the share buyback point, Muneeba, I would draw your attention to two things. One, the Boeing delivery delays this year meant we had with less CapEx, more spare cash. Our first instinct was to return that additional cash to those -- that's spare cash to shareholders. I would highlight, however, as we've done in the results, we have two large bond repayments coming up in September '25, EUR850 million; and May '26, EUR1.2 billion. We are determined to pay down that debt. And that will be the Board's first priority, while maintaining our dividend policy going forward. Neil, on share buyback?
Neil Sorahan : You're [indiscernible] where I was going to go. I mean the quantum this year was driven by the lower CapEx, but also, we didn't have any big bond repayments. We've got an opportunity just given where the share price went in the first -- sorry, in the July, August period to lean into the EUR700 million buyback. We finished that earlier than anticipated. And EUR800 million with the slowing CapEx and the delays in Boeing seems about the right number. That gets us out to the next number, but we're very focused that we do of that EUR850 million bond in September '25, and there's a EUR1.2 billion bond beyond that. We'll continue to pay back 25% of prior year PAT, and you're seeing that. We've already announced about a EUR240 million dividend in February. There will be another EUR240 million or thereabouts in September of next year. But ultimately, the profitability in the business, the CapEx opportunities, the debt repayments will dictate how much spare cash is available for the Board to return. But I think the net finished the EUR800 million buyback first and then we look at what comes after that, Muneeba.
Michael O’Leary : Thanks, Neil.
Operator: The next question comes from Dudley Shanley from Goodbody. Dudley your line is open. Please go ahead.
Dudley Shanley: Two questions, if I may. First of all, can you just update us on the latest you've heard on the certification of the MAX 7 and then the follow-on certification of the MAX 10? And then the second question is one of your favorite topics, Michael, which is ATC disruption. It was particularly during the summer, especially for the first wave. Can anything be done about this and can it be done without route charges going up over time? Thank you.
Michael O’Leary : Great. Okay. And my just speak -- court on Friday afternoon, they remain confident that they're still working away on the certification. They still expect certification of MAX 7 in the first half of FY '25, and then that the MAX 10 certification will follow reasonably quickly thereafter in about -- sometime in the mid-second half of 2025. And I think we could take them at their word. We've had some reasonably positive feedback with EASA, who have said that they're reasonably impressed by the MAX 10 and don't see any reason why that certification won't take place. It's a good aircraft. The -- but it's driven by getting the MAX 7 Tire certified first. And I think what's important though is that work continues even while the strike is ongoing. The ATC disruptions have been in shambles this year. I think what's really depressing about ATC is so much of this is fixable. Much of the -- EUROCONTROL on figures showed that flights in Europe this summer were at 98% of their pre-COVID volumes. So, it's not that the skies are black or they're dealing with huge growth, they're actually dealing with fewer flights than they had in 2019. But they're short-staffed. And in many cases, they're short-staffed because people simply won't come to work on Saturdays and Sundays. Or as in the case of the French, they've done the management deal with the French unions where they can report to work 3 hours late. Now if you're unaccounted or reporting to work 3 hours late, it doesn't make that much difference. But if you're a pilot or you're an air traffic controller and your cue at 4:00 a.m. in the morning and you reported 7:00 a.m. in the morning because you can, then the whole first way gets delayed. So, there are two things that can be done, and we're pushing hard with the EU Commission. One, protect the overflights during national ATC strikes. The Spanish, the Italians and the Greeks already do this, they use minimum service to protect 100% of over flights. But the France use minimum service legislation to protect about 80% of their domestic flights and only 20% of overflight. So, because of the geographical position of France, everybody else gets screwed. So, two simple things, one, protect overflights during national ATC strikes; and two, we require a commitment that each of the ANSPs, particularly the French, the Germans and, to a lesser extent, the Spanish, will be fully staffed for the first wave of flights every morning. There is no point in having a labor deal that allows some air traffic controller -- and we're talking one or two air traffic controller of sort on the first wave of flights in France could take about 20% of its capacity out. And we're talking tiny numbers of people here, that are being grossly mismanaged. And I think if the new EU commission, I think we're optimistic, improved has put competitiveness at the center of the new 5-year mandate for the EU Commission. And if you really want to do something about the competitiveness, start with fixing Europe's chronic ATC services. And those two simple measures would eliminate about 90% of ATC delays. Next question, please.
Operator: The next question comes from Alex Irving from Bernstein. Alex your line is open. Please go ahead.
Alex Irving : A couple for me, please. First of all, both on the MAX 10, what you say about the certification, but what are you accruing for? Is there a risk of unit staff cost inflation, if this gets pushed out? Second is on ancillary sales, the passenger muted growth has been pretty low in this quarter and the last quarter. What's driving this? And what initiatives are you currently working on to get these backs to growth, please?
Michael O’Leary : Sorry, Alex, could you just repeat the second half? You broke up their, the tax something in the second quarter?
Alex Irving : Ancillary sales per passenger in low growth [indiscernible] what are we working on together back to growth?
Michael O’Leary : Okay. I'll give that to the second one to Neil. MAX 10, look, we're very optimistic about the MAX 10, it's why I wouldn't change one decimal point of our growth trajectory to 300 million by the mid-2030s. The big issue for us is we'll do our first 17 deliveries of MAX 10 in the first half of 2027. So, we have been there for summer '27. As long as the MAX 10 are certified in the second half of 2025 and Boeing can increase their production -- their monthly production in line with their projections, then there should be no delays to those deliveries. So, we see those aircraft will bring us, compared to the original 737 NGs, we're getting 20% more seats, burning 20% less fuel. I mean their transformation of our operating costs. We don't foresee any significant staff impact. It will make our -- if you go back to Slide 3 of our present -- or Slide 4 of our presentation, unit cost line, it will meaningfully widen our staff cost leadership, airport and handling cost leadership, everything, with the sole expected route charges, the aircraft are heavier, and our fuel leadership over every other airline in Europe. We will not obviously recruit additional pilots if there's some additional delay to those -- the deliveries in the first half of 2027. But I think you've seen us -- which did happen to us in the summer of 2024. So, I don't see any significant bump in staff costs arising from it. We will have a fifth cabin crew on board. But all of our trade deals at the moment with polots, cabin crew are done. Whether you're -- they factored all variants of the 737s. We will only be taking 17 aircraft in. So, if there was -- if somebody was silly enough to say, well, we won't fly the MAX 10 unless we get XYZ. We say fine, we typically move it to a different geography where we have no difficulty getting our crew into MAX 10. So, I think there's nothing but upside for us in the MAX 10. The productivity of the aircraft are extraordinary. The productivity, by the way, of the -- even at the end of the Gamechangers has been extraordinary. We are getting 4% more seats, they are burning 16% less fuel. These are transformational in our business. We own the aircraft. And I look across at some of our competitors who are, frankly, do sale and leasebacks desperately or cooking the books, trying to take certain profit sale leasebacks through the P&L. We have none of that, and we have no long-term debt or leasing costs on our balance sheet. So, I can't wait for the MAX 10s. I think they are going to be transformational for our cost and for our profitability from summer of 2027 onwards. And I'd just say I'm not quite sure on the ancillary sales, ancillary sales per -- were up 10%. Traffic is up 9%. So, we are getting, as we said, ancillaries continue to bump a little bit ahead of traffic growth. But then Neil, and maybe I don't know whether, Eddie, you want to add something on ancillaries there.
Neil Sorahan : Yes, I'm happy to that, Michael. As you said, it was a pretty good performance in the first half of the year with a 10% increase in revenue. There's probably three big areas, Alex, as you're well aware. We're we make a lot of the money to reserve seating. That's going well. It's up year-on-year. And we'd hope that there's more we can do on optimizing that and the pricing around it. Onboard sales have improved year-on-year, and our new order to seat initiative, which we were trialing in the early summer and then now rolled out across the network, is going very, very well, with the people keen to get their order in early on board. So, I'd be hopeful more to come from that. The one area that probably disappointed me a little bit this year was the priority boarding. I think some of that might have been down to the fact that we've been under pressure with air traffic control this year to try and not take on slots. Our priority is to close the door, get the Airbus on the aircraft and fly. So, there's maybe been a little bit of gaming from some of the customers on not take the bags on board. But we're addressing that. We're working through some upside there. So, I feel there's a bit more to go on the priority. We've been quite clear. There's not going to be any major new initiatives coming, but there's lots to be done with the products that we have, just enhancing them. I'm pleased with what's happening on board. Having underperformed over the past couple of years, on board sales have turned the corner this year. And I think with order to see plenty more to go on that front. And then working with labs, we'll continue to try and work on improving the seating and working with my colleagues in the operations and the airports. We'll work on improving the priority boarding.
Michael O’Leary : Eddie, anything to add on ancillaries?
Edward Wilson: No. I mean just -- it's really -- sorry, it's Eddie here. It really just stands in the interplay or whatever between those core products in terms of optimizing revenue between the trade-offs between behaviors on bags and priority boarding and bundles and issues like that. And it's just -- we'll never get to the end of this, Alex, with the lab team as the models get even more -- as the models will get more sophisticated in time.
Michael O’Leary : I would just add one thought there. In a past year where the average fares -- or the average fare was down 10% per passenger, in that -- along that is due to consumer spending being under pressure. I think it's very impressive that ancillary revenues were up 10% on a 9% traffic growth. We are still able to mine the ancillary revenue line and to encourage or convert customers to the convenience of priority boarding, reserve seating, et cetera, even in a period of time when consumers spend is under pressure?
Operator: The next question comes from Jarrod Castle from UBS. Jarrod your line is open. Please go ahead.
Jarrod Castle : Good morning, everyone. You hedged 75% of your fuel for 2026, and if I look back a year ago, you had only hedged 53% that stage for March '25. So why do you, I guess, increased the hedging? Is this suggesting anything in terms of the direction you see oil going to in the next year? And then also, you've kind of highlighted a lot about ownership, those control rules and your engagement with stakeholders, I'm not asking kind of where these heads, but can you kind of just give a bit of color in terms of potential outcomes that you'd like to achieve?
Michael O’Leary : Okay. I'll ask maybe, Juliusz, do you know ownership and control part on hedging, Jarrod. Look, we're always there were waiting to pound for it. We see weakness in oil prices below our current year where we can lock away a cost saving. I think we're always keen to do so. We're undoubtedly in a period where the world is more volatile. Fuel prices a week ago were under $70 a barrel, today, they've opened up over $75 a barrel. So, what we're trying to do is to have some cost certainty going forward. We're hedged this year at $79 a barrel. We're now 75% hedged at $77 a barrel. I don't think we would go over medium term higher than that. I think there's a real risk that the -- and some of the market analysts are beginning to talk now of maybe $60 a barrel. We could find ourselves a bit exposed compared to our own hedge competitors. Oil price could go lower. But then we'll pick that up with our 20%, 25% unhedged fuel. But I like the feel of where we are at the moment. I think given the situation in the Middle East and in Ukraine, as we move into the winter, there is always a risk oil prices will go higher $75, $80 a barrel. We are not trying to beat the market. We know f****** nothing more than anybody else does about oil prices. But we have a balance sheet that allows us to hedge out to way forward jet into plain jet, and we are always -- if you go back to the years we were hedged at $89 a barrel. This year, it's $79 a barrel. Next year, we're at $77 a barrel. If I saw an opportunity there, say, oil prices fell below $60 a barrel and we could meaningfully go in and hedge another 10%, 15% and bring it down towards low 70s per barrel, we might move. But I think it's unlikely. Like we're still burned or scared by the memory of COVID, where we did to COVID, 90 -- we used to have a rolling 90% hedge policy. I don't know we will ever get hedged up to 90% on this. It's just some ridiculous opportunity there. But I like the fact that we have very stable unit costs. We're taking more Gamechangers. That gives us an operating cost kind of efficiency. And we've hedged 75% of our fuel this year at $1 a share less than the current year. So, I like what we're able to do to secure our kind of stable cost next year, when I think given weak prior year comp, there's a reasonable risk to the upside in terms of pricing, particularly with even our own capacity constraint next year. And Juliusz, maybe you talk -- give people a quick briefing on the ONC consultations and where we think it might go.
Juliusz Komorek: Yes. Thanks, Michael. So, over the last few weeks, we spoke to shareholders who represent approximately 60% of the issued share capital. Those shareholders currently hold both through the ordinaries and through the ADRs. We received a lot of interest in feedback, and generally found this exercise very useful. We still have quite a few meetings in the diary for the coming weeks. And at the same time, we are in discussions with our regulators. So that's the national regulators in Ireland, Poland and Malta, and also the European Commission. I wouldn't want to talk more about potential outcomes, and I don't think it would be appropriate to give more color given that we haven't yet spoken to everyone. We have an open invitation out on our website for shareholders to express those views, and we have received interesting feedback to that channel also. So, I don't think it would be appropriate to those that we haven't spoken to yet to now go and give more color. But it has been useful, and we will give an update as soon as we can.
Michael O’Leary : And I think that's an important point to be made here, Jarrod. There was some concerns at the start of this, particularly with the ADR holders, the ordinaries were trading at a discount of 29% of the ADRs when we start this consultation on the 11th of September. Over the past 6 weeks or 8 weeks, that ordinary discount has narrowed down its current as of last Friday, it was at 18%, the discount on the ordinaries compared to the ADR. That narrowing has been entirely due to the prices of the ordinaries rising by 11% over that 7-week period. In fact, the price of the ADR has increased by 1%. So, I think there was a fear among ADR holders that if we move here, this would -- what they see as a premium on the ADRs, what we interpret an unfair discount on the ordinaries, would be arbitraged away by the ABR price falling. In fact, as it has been borne out over the last 6 weeks or 7 weeks, we think what will happen is that the discounts on the ordinaries will arbitrage away as the ordinaries will rise up to where the ADRs are. And I think that's a key point. But yes, as Juliusz has said, we have an open mind on this. The Board will consider it. And the alternatives are we could remove the ownership and control restrictions. We could remove just the ownership restrictions, but keep the voting control restrictions. Or we could keep the ownership restrictions and remove the voting restrictions. So -- and it will not -- the Board will take account of the views of the inputs of shareholders. But we also have to then liaise with our regulators as well, the European and national regulators of the 5 airlines that we [indiscernible]. And we think that process -- the time frame where probably mid-next year before we come to some kind of conclusion I think is that a reasonable time frame?
Juliusz Komorek: That's the best estimate at the moment, but no fixed time frame.
Operator: The next question comes from Sathish Sivakumar from Citi. Satish your line is open. Please go ahead.
Sathish Sivakumar : I got two questions here. First on the ancillaries. On the video, it is mentioned about 35% of the passengers are ordering directly via app. So, in terms of the spend, how does it actually come past, say, consumers or customers ordering via app, are they tend to spend more versus the traditional onboard spend? Any comparison on that, like what is the spend per pax would look like? And then the second one is around the fuel cost. As we go into next year when the SAF Ryanair kicks in. Like can give you like any visibility around how much of the SAF procurement is done, at what price, so that, again, it gives us good visibility in terms of fuel cost into the next few years, yes.
Michael O’Leary : On the orders, what we're seeing is a greater propensity. Now it's reasonably recent, but there's increased propensity of people making the orders, making decisions while waiting for the aircraft to board. I think it will boost the spend per pax on in-flight sales, but in-flight sales are a pretty small part of our total ancillary volumes. As Eddie has said, the large volume -- the large moving items are the priority boarding, reserved seating. And from we are, we think, and it's certainly borne out in the first couple of weeks of files, there is a notable double-digit increase in the percentage of people who will shop on board when they can do so using -- do it in advance using the order seat functionality, and we think that will continue. And I'm here with Thomas Fowler, our Director of Fuel and Sustainability. Tom, do you want to take the second part? And then I might double back and ask Eddie or Neil to comment further on the orders.
Thomas Fowler : Yes. So Sathish, just on the SAF side, we're currently negotiating the prices with our field suppliers ahead of the mandate next year. So, it's very early to give an exact number on it. But we will -- we have some contracts rolling off with suppliers in January that we're negotiating at the moment. And like we're looking at somewhere SAF premiums of between 2 times and 4 times depending on the region, but we're nowhere near finalized on the year.
Michael O’Leary : Thanks, Thomas. And Eddie, Neil, you want to add on the order through seat ancillary spend?
Edward Wilson: I mean as you say, it's just -- just two points I'd make is that, one is from a lab perspective. There's a low-cost solution done by Bluetooth that has changed behaviors on board and just shows me the innovation that we're getting from the lab side. Without any servers on the back of the airplane or any certification or anything like that, so it's a pretty slick solution. And then the second thing I'd say, and I'm here with Sinead and you get this anecdote back to the crew, that people are more inclined to buy more when they're ordering on the app rather than asking directly. So -- and sometimes people don't ask for like three packs of -- four cans to Heineken put a go difficulty during that when they're doing it through the app. So, it's a behavioral change. And so, people -- it looks like people actually -- we'll need more data on it, but it totally okay if they actually buy more per passenger.
Neil Sorahan : Yes, I'd agree with Eddie there. I think one of the other benefits of that is that people who may have traditionally waited for the second service or third service are now willing to put in that random order between service, and you get the incremental sales that you wouldn't have off before -- and stuff like that, that's performing well also.
Michael O’Leary : Yes. I'll give you an anecdote when I came back with a kid from Rome, the school midterm last week, my wife now has me ordering the stuff there, are paranoid that we won't have a panini or ham or cheese or something on board. So, we now order through app. The only downside is I was sitting in row four, people around me say, they're right down with my stuff first. So, they said, you get special service here on the in-flight. I said, no, no, you should order through the... I think it will significantly boost the conversion of people on board, but it won't be dramatic. Its impact on our overall ancillary revenues won't be dramatic because inside sales is a reasonably small percentage of that.
Operator: The next question comes from Savanthi Syth from Raymond James. Savanthi please go ahead. Your line is open.
Savanthi Syth: Good morning. Just two quick questions on -- if you look at like the next 12 months to 18 months, just given your slower growth plan, are there any kind of major cost items that you think, from current trends, you'll see kind of greater pressure or maybe because some of the items that you're working on that might see less pressure than you're seeing today? And then just on the second question, could you talk about the steps that you need to take to migrate that last 25% of our customers to kind of the app? And are there any kind of related cost savings that you're expecting?
Michael O’Leary : Okay. Eddie, you do the second half, I'll do the first half. Next for 12 months, 18 months on cost items, I mean, I think the two that we would focus on at the moment is the propensity of governments, like the French and the U.K., to look for increased taxes on air travel. I think we've seen very significant successes in getting the Irish, the Hungarians, the Swedes, the Italian regions to roll back taxes. But it's no doubt in my mind that the U.K. and French are going in the opposite direction. I would worry about route charges, although I think while we think there's some reasonably simple solutions here on route charges, like protecting overflights and making sure that they are sure to work first thing in the morning, I think it will be used by governments as a way of trying to drive up ASPs to drive up route fee or ATC fees by above inflation. Other than that, we think airports and handling labor, aircraft and ownership, and our financing income line will continue to be strong. But I think I draw no further comfort from our cost performance in the first half of this year and over the full part of this year. No other airline in Europe is going out there this year which kind of cost flat, unless they're kind of scanning the P&L by recognizing a loss of sale, leaseback profits through the P&L. I think the real upside for us in the next 12 months to 18 months with our capacity constrained and revenue or for frequency reductions in a lot of the bigger markets, is I think there's a real potential to the upside on pricing and payers. And we didn't hope we're beginning to see that as we move into Q3, where there's no doubt in my mind, where strong bookings, pricing, the price declines are moderating. A lot depends on what happens in the summer 2025, but I would be reasonably optimistic that -- and again, against prior year weak comparables, we'll see fares up in summer 2025. Eddie, do you want to talk about could we migrate to the other 25% of customers is the app?
Edward Wilson: Yes. I mean the real benefit here, and we've seen this flowing through from the app and the data travel app where we're actually able to communicate what gates you're going to, any delays that might be coming, and we're just able to manage that much, much better. And the next phase of this will be on the -- you'll be able to get -- be able to manage operational problems more easily on the day. So, for example, if you are engaging an aircraft than 8200 to 800 and there's a different seat configuration, you'll be able to virtually do that in real time without people having to talk about which seats they're in. And all those things that will drive operational efficiency and 25-minute turnarounds. And there's also the ability, when you've got everybody on this app, to get around those old legacy systems that are at airports, which have been around since old times, seasoned systems, et cetera. You'll be able to manage cues at virtual boarding areas, et cetera. So that would speed up -- like anything that speeds up getting people on aircraft, turning around on side, particularly as more larger-gauge aircraft come online, we've got to be thinking about that as well. And ultimately, like, okay, it saves paper. But there will be ultimately a cost benefit for us in getting around legacy systems, and it will be a much better experience. And it will be in place for next summer. And you just need -- you'll need a smartphone to do that. And 70% of people do it. And like we did this before with online check-in and people didn't have to go to a check at desk. It's another change, but I think people see the benefit of it.
Michael O’Leary : I mean I got very optimistic. I think we -- no, we can't guarantee if we eliminate 100% of things like boarding card, reissue fees, airport check-in fees. But really, if we have everybody on the app and we're sending you messages, it should really collapse those fees, which are really are a source of irritation to a small number of passengers. And increasingly, the vast majority of our passengers who arrive at airports without having checked are customers of OTAs who weren't passed on the reminder emails and the text SMSs, went to some fake mobile phone number. When if we have 100% of people on the app, you will be getting the reminders. And I think everybody, then you'll be able to check in there on your phone the day before you travel, we should really be able to eliminate 100%. Now there'll always be some more on who will ignore the messages, think it's spam and won't check in. If they still arrive at the airport and haven't checked in, they will be hit with a fee. But we think we should be able to collapse that to almost zero if we have everybody on the app. So, there'll be a real boost, I think, in our interaction with customers, but also eliminating some of those annoying fees for customers, some of which are -- they only pay because the OTAs didn't pass them on kind of reminder emails or text SMS.
Operator: Your next question comes from Duane Pfennigwerth from Evercore ISI. Duane your line is open. Please go ahead.
Duane Pfennigwerth : Just on overstaffing, have you paused pilot hiring? And maybe you could put it into context the number of pilots you plan to hire in the next year versus what you've done in the last couple of years? And then really the point of the question is do you have an estimate for the size of the cost headwind from overstaffing, which presumably should work itself out over the next year or 2?
Michael O’Leary : I think so. I mean I wouldn't want to put a particular number on it, Duane. But we had geared up, we were crewed for, we have trained up and we recruited and trained pilots in the first two calendar quarters. So, we had hired more than 20 -- more pilots and cabin crew for 20 more aircraft than we actually operating through the summer of 2025. Now we could have taken a decision right there, make them return, get rid of them, we won't. We did think natural attrition would take them out. The problem actually is we have very little attrition of pilots and cabin crew. We're at an all-time record low or low turnover of pilots and cabin crew. So, we did carry the thing this summer. I think it was -- it is minimizing some into one compensation costs because we did have more standby prices done by cabin crew. But we wouldn't want to do it again. And I think that's why we're telegraphing now to the market early, we're taking down the growth next year. We're saying today 210 million. If Boeing come back with adverse news between now and Christmas once the trike -- the strike is -- I mean, safety focus committed to me. she'll come back to me once they are out of the strike and are people back to work, they'll give me a definitive delivery on our 9 Q4 delayed deliveries. And then how many of the 29 aircraft? The last train in there will go to get advance of -- and I said, when I say summer '25, I said -- taking aircraft up to the end of June. I'm not counting any in July and August. This year, we were trying to take deliveries in July, trying to take deliveries in August. We had crews ready to go. And we had them on sale and we had to chomp and changing the schedule. Like it's very disruptive and costly. But because of the lack of attrition at the moment, we have stepped down or canceled a lot of pilot recruitment and training. Pilot recruitment and cabin crew recruitment and training both in the calendar fourth quarter and in the calendar first quarter of next year. We are doing some modest pilot recruitment, but a very modest, almost all that will be taken by our cadet -- will be absorbed by our cadet programs, recruiting our cadets, second officer, promoting them through the first officers. There's very few we believing at the moment. There's not a lot of other 737 jobs across Europe. There's very little demand in the Middle East for 737 pilots. And so, I think our turnover attrition of pilots is at an all-time low, which is good. I think people are generally happy with where they are. They're getting the benefit of significant pay increase and productivity pay increases over the last 2 years. And people seem to be generally happy with their life and nobody is leaving. Cabin crew, same situation. But again, because the recruitment and training of cabin crew is a much shorter cycle, but we have canceled a lot of recruitment and training programs that we had planned in Q3 -- in Q4 and Q1 of next year. We will do some cabin crew recruitment and training in the first half of next year. We're probably only running at about 30% or 40% of what we would have normally done in previous years when we -- when mission was higher. So -- but I think we had a meaningful cost penalty this year. If you look at over the full year, we expect the kind of -- the staff cost going to rise traffic up about 9%. Staff costs will rise between high teens. Some of that -- I can't point out what that is because we were over-crewed through the summer with those pilot’s cabin crew the 20 aircraft which we didn't get. So -- and that hits us on the top. But we're down 5 million passengers, we don't have the -- we've lost that 5 million passengers. We've lost the ancillary of those 5 million passegers, but we carried the crews through the summer at the same time. And Neil, do you want to add anything on that?
Neil Sorahan : No, I think you've covered it very well. This is the 20 aircraft worth of over-crewing was the key lag for us this year. And hopefully, we can manage that down a bit into next year. If we're growing for less aircraft in the fleet, we will accrue appropriately.
Operator: The next question comes from Ruby Colony from RBC.
Unidentified Analyst : Good morning. Firstly, on Slide 17 of your presentation, you've now got 10% passenger growth in full year '27 on 1% fleet growth. So how should we think about that? And then secondly, your -- I was wondering if in Q3, your book-to-date pricing was much different from your fair expectations given the slightly weird prior year comp you've got from OTA to moving Ryanair flights from their websites last November?
Michael O’Leary : Thanks, [indiscernible]. I mean I can't remember off the top of my head what's on Slide 17. What number of traffic -- number have been for FY '27 there? If you're looking at it, going on only...
Neil Sorahan : 230 in there, which is in a point in time, it may or may not be that number, depending on the number of aircraft we guess.
Michael O’Leary : I think that's reasonable. Like we would expect for FY '27, I mean, a lot of this now would be dependent on getting it. If Boeing deliver all of the 20, I mean, assurance is people on Friday. But while the they missed some of the deliveries for summer 2025, we will have all of the remaining Gamechanger, the 210 Gamechangers in the system by -- for summer '26. I think it would be reasonable that we would get close to 230 million. So, we are determined to continue to hit those traffic numbers, but they're dependent on Boeing delivery delays. So, if you take our FY '25, originally, we are 200 million, I think we'd be at about 199 million and change. FY '26 was originally 215 million, we would step that back now towards about 210 million. But I see no reason why we wouldn't then be able to get that back up towards 230 million for FY '27. Now maybe it might be 225 million, 227 million, 228 million, but we will -- as soon as we get those aircraft, we can deploy them profitably. And so, I think that's reasonable. We then will have a year or 2 -- I'm not sure about FY '28 or FY '29 because we will, at that point in time, be facing -- redelivering some of the Lauda A320s and were heavily dependent on Boeing not having any delivery delays on the first of the MAX 10s. On Q3 on the OTAs, look, it hard to separate it. I mean all we can give you is what we have at the moment, that is that the forward booking into Q3 are strong. We released the October traffic stats this morning. 94% load tractor. Traffic up 7%. And that was with even with the Boeing delivery delays. It's hard to, again, say how much of that is used to the OTAs coming back online. Eddie has made the point. While we have approved and delayed deals in place with over 90% of the OTAs, some of them have not yet got the pipes or the API pipe fully functional because their IT departments are slower than some of the bigger ones who are better at the IT. And so, I think there's more to come from the OTA in Q3 and Q4. But what we can tell you at this point in time is traffic growth is strong, we would still expect, in Q3, that the scheduled traffic in Q3 to be up some 7%, 8%, in line with the October number. And the price decline is certainly moderating. And I go back again, minus 15% in Q1. Some of that was the Easter moving into Q4. Minus 7% in Q2. I think a midpoint between zero and minus 5 in Q3 would be a reasonable back at the envelope. It's not a forecast, please don't quote it back to me as some bloody forecast, but it is moderating. And then it's just hard to know how much Easter will affect Q4. But whenever -- while we have a tough prior year comp in Q4, we will have a bumper Q1, because we'll have all of Easter in next year's Q1, whereas we don't have Easter in the prior -- in this year's Q1.
Operator: The next question comes from Andrew Lobbenberg from Barclays. Andrew your line is open. Please go ahead.
Andrew Lobbenberg : You're cabin capacity to the U.K., you saved by 10%. What you're going to do with those slots? And then a second question back to OTA. So, you bought it, yes? Saying 90% of the OTAs have signed up. But eDreams is kind of large, I think. So, would it be fair to say that, that represented more than 10% of your passengers back from last year? So actually, you're missing a bit more than the 10%, you suggest that. What is the pathway forward for you to kiss and make up with eDreams?
Michael O’Leary : Okay. Thanks, Andrew. We -- a lot of the -- as I said, we try to make the point that the -- a lot of the airports in the U.K., if we cut about 5 million passengers out of the U.K. next year, it will be done on frequency. We won't move the aircraft. We won't vacate overnight aircraft in place. So most of our U.K. airports are not slot restricted, but we certainly wouldn't reduce overnight aircraft at the big airport, [indiscernible], Manchester, Bristol -- I'm trying to think, Eddie, off the top of my head, is there any other that are slot controlled. I don't think so. Edinburgh, Glasgow, over to that. But we will take kind of some -- a lot of the capacity we operate with those airports is on aircraft that are based elsewhere in the Ireland and or in Europe, flying in and out of those airports. And we will divert some of those frequencies away from the U.K., so the lower-cost destinations like Italy, regional Italy, Sweden, Central Eastern Europe, where we're seeing incentives are -- increasing incentives. So, we don't think and we wouldn't compromise slot for any of the couple of U.K. airports for slots for us are an issue. On the OTA, eDreams is one of the bigger ones, but it's nowhere near 10% of passengers. None of the OTAs on their own are significant, have a significant impact on our volumes. They're all reasonably modest on a stand-alone basis. If you look at the eDream's business model, however, most -- almost -- well, I find 100% what they claim to be in profitability is coming from this eDreams Prime subscription, where they promise you a discount on 100% of flights. And yet on every flight we've trials, they're overcharging customers. We think it's an inevitable that eDreams will ultimately have to sign up because I think they're going to see market share to all the competitors, like Loft Holidays and the other OTAs who will simply take that. Because the other OTAs can now offer low Ryanair fares at Ryanair's prices, whereas the ETAs is still tried to run a business where they're inflating Ryanair fares and the cost of Ryanair ancillary services. And I think given the transparency of the web, it's inevitable that they will have to sign up eventually. We are indifferent as the whether they do or they don't. But at the moment, we're off sale with eDreams, that suits us fine. We don't want to be on sale with anybody who is inflating our airfares or overcharging our customers. And it's the matter for eDreams, we frankly couldn't care less. It's not going to make any difference to us going forward. But we are absolutely determined to ensure that nobody gets between us and our customers. And that we, by working with approved OTAs, ensure that those OTAs are offering their customers real Ryanair fares, and we're getting real customer emails and real customer payment details. Anybody want to add anything on the eDreams OTA side? Feel free. No? Okay.
Operator: The next question is from Gerald Khoo from Panmure Liberum.
Gerald Khoo : One if I can. Firstly, on the tax rate which seemed a bit high at 14% in Q2, obviously above by the stand point. I was just wondering why that wasn't -- what would be a sensible assumption for the full year? And secondly, on your revised aircraft delivery schedule, could you clarify what you've actually assumed in terms of timing of the resolution of the strike at Boeing, please?
Michael O’Leary : Okay. Maybe Neil or maybe Tracey McCann might add -- handle the tax, please, and then I'll take the Boeing delivery schedule.
Neil Sorahan : Yes, I'm happy to jump in there on the tax, Gerald. As you're probably aware, we make most of our profit in the first half of the year and in jurisdictions where tax rates are slightly higher, whereas we tend to make less money in the second half of the year. So, you'll see the tax rate by rate down as losses to some of the market in H2. I think a reasonable assumption for the full year would be somewhere close between 10% and 11% tax for the full year.
Michael O’Leary : Thanks, Neil. And on the aircraft delivery schedule, we've put there an updated aircraft delivery schedule more flowing. So, we can give you a sense of where we think we are in terms of the additional growing delivery delays and why that's causing us to step back our traffic forecast for FY '25, but also for FY '26. We've made no assumptions on the settlement of the strike. The reason where -- the strikes, there's a ballot today on the 38% pay increase. We have no idea whether it will get settled or not. Boeing themselves I think it's about 50-50. I suspect the labor may well turn it down if they're at per 8%. I mean my view is these guys will hang out for 40%, but what do I know. I mean all we're saying there is that's what our current forecast will be for FY '26. To get to 210 million passes, we need to get -- for the 9 delayed Q4 aircraft in by the end of April or May and say we get those in the first quarter. And then the critical issue is how many of the 29 additional aircraft do we get by the end of June. We're not going to schedule any aircraft deliveries in July or August, but whatever we get by the end of June. At this point in time, I think 15 is a reasonable assumption. But I would -- that's heavily qualified by what Boeing -- and again, I spoke to Stephanie Pope on Friday, they will update their kind of delivery schedules with us once the strike is finished. And they have -- they think that it will take about 4 weeks to get back into kind of full production after the strike. We hope to try to get resolved this week, in which case at least are back up to full production before Thanksgiving -- or after Thanksgiving, but before Christmas. But there is a real risk that those -- we will get less than those 15 aircraft in time by the end of June. If it's 10, if it's 5, I don't know what that impact will be. We will have to move some of our traffic growth out of FY '26 and into FY '27. But I would caution, again, the more we have to delay our growth, the better, I think, would be the outcome for pricing in summer 2025 and in FY 2026, with a weak prior year comp in FY '25. Personally, I would like to take as many aircraft as we can get. But as a shareholder, I think the more the aircraft are delayed, the better it would be for our profitability in FY '26.
Operator: Our last question comes from Conor Dwyer from Morgan Stanley. Conor your line is open. Please go ahead.
Conor Dwyer : Good morning. First question is just on the buyback. You talked about the slowdown being influenced by the payback of bond next year, lower CapEx this year, accelerating it. I'm wondering if there's any influence by the fact that you're also expecting potential rule changes on the ownership? And if basically would make a bit more sense to hold back some of the cash to do more of the buyback on the ordinary. And the second question, on the prerecorded call, Neil, you spoke about a willingness to explore other financing options if they become more attractive than cash. Just wondering if that's only to really kind of change the capital structure or if you also might consider extra leasing to bump up the growth of the overall business over the next few years?
Michael O’Leary : Okay. Thanks. I'll take the first again, and get Neil to take the second. On the buybacks, I don't think the review of the ownership in -- would have any difference. The buybacks are not driven by the pricing of -- the discount on the ordinaries are on the ADRs. I mean we have -- the current buyback we skewed 70-30 towards the ADRs anyway. But I think it's instructive that since we began this consultation process with the shareholders, the discount on the ordinaries has eroded from 29% to 18%. And almost all of that has come as a result of the cost of the -- or the pricing on the ordinaries rising even at a time when we are buying more ADRs than ordinaries. So, I don't think it will make any significant difference. Where if the Board wish to change either the ownership or the control rules in conjunction with our regulators, we will still be facing, I think, material -- the material challenge of very strong cash generation as long as we maintain kind of current profitability for the next 2 years or 3 years while we have a gap or a falloff in CapEx. And what drives our share buybacks is surplus internally generated free cash flow. We have no other uses for that cash. And therefore, we're -- as with dividend this year, we completed EUR 700 million share buyback. Now I think there was no doubt that the decline in the share price as a result of the disappointing guidance on pricing and fares this summer. Certainly, incentivized the Board, I think, to move quickly and to accelerate the share buyback, but it was driven by having surplus cash. I think the surplus cash will be a little tighter for the next year or 2, given the two big bond repayments, but there should still be room for share buybacks over those 2 years. And then we're back into significant CapEx as we start -- as the MAX 10 delivery start to roll out in the first half of 2027. So, I don't think the bond and our Board's willingness to look at buybacks will be in any way affected by the consultation process on ownership and control. It will be driven solely by our ability to continue to generate really strong free cash flow and deploying that free cash flow in terms of shareholder returns. I look around me at our competitors, all of whom are -- have massive net debt positions and yet we're -- we returned EUR9 billion to shareholders over the last 15 years. And I think there's every indication through a combination of dividends and share buybacks that we'll be able to continue that market-leading performance for the next couple of years. Neil, I forgot the second half, it has something to do with the prerecord on...
Neil Sorahan : The financing options available to us. Conor, we've always been opportunistic in what we do. The reality is in relation to leasing, we've got a higher investment grade rating than any of the lessors out there. So, we can raise money cheaper than the lessors. But they would have to have a compelling reason for why we would go towards that financing. I can't see what capacity constraint for some years at the lessors are going to reduce what are now sky-high leasing rates, which thankfully we're not paying, but our competitors are. But if the bond market, for example, was to become cheaper than financing ourselves out of cash to refinance bonds and so forth, we might look at it. Potentially in a few years' time when we're trying to take some of the residual risk from the NGs off the balance sheet, we might look at lessors. But I think if the pricing remains where it's at, that wouldn't be my first, second or third port of call when it comes to looking at alternatives to our current cash.
Michael O’Leary : And again, I think you're looking forward to next year, nothing fills me more -- full of optimism more than the aircraft lessors making record profits on lease extensions and new aircraft leases to our competitor airlines. They're driving up the cost of operations of our competitors across Europe at a time when we're taking -- buying new aircraft and using our balance sheet, and those aircraft are carrying 4% more passengers, with more 16%. When we get to the MAX 10, 20% more -- at 20% less fuel. So, I'm very optimistic going forward that the unit cost gap between us and our competitors will continue to widen. And our competition in Europe are going to be under significant pressure. If you look at Lufthansa's results last week, Air France this week, all talking about EBIT, because there isn't any earnings there. These guys in a constrained capacity market are going to drive up airfare for the next couple of years. And I think that will give us a lot of headroom for -- to see modest growth in airfares, much rate will flow through to Ryanair's bottom line. Any other questions or that's the end of it? No? Okay.
Operator: That concludes the Q&A session. I'll hand back to you.
Michael O’Leary : Thank you very much, everybody. I think we've run 1.5 hours on questions, Q&A. We have an extensive road show in place. I'm -- me and a number of the team are over here in the U.S. And Neil is in the U.K. heading for the U.S. Eddie, and there's other team members who will be covering investor meets in Ireland, in the U.K. and Europe. If anybody wants to meeting with us, please can you contact a Davy's Goodbody, our [indiscernible], we'd be very happy to have a meeting with any investors. And may I conclude by saying, look, I think we've had a fraught summer on pricing. We were surprised by the downturn in pricing after 2 years of very strong pricing. I think the real message today take away from this call though, if you look at the unit cost performance, the unit cost performance is absolutely bang on. We are doing a stellar job on containing costs. We've been surprised by the weakness in pricing this year. But I think there's -- it's reasonable to expect that pricing will be -- will move modestly upwards for the next summer in a heavily constrained marketplace as long as there's no geopolitical events that disrupt air travel. And I would think the Ryanair balance sheet, concerning Ryanair's P&L is poised to benefit from any improvement on -- in pricing or alternative pricing next year, particularly as we will move into FY '26 with a very weak prior year comp. And with that matter, thank very much. I look forward to seeing you all at some stage over the next week. And Neil and Tracey -- or Neil and Jason is going out to the Baird Industrial Conference in Chicago next week as well. So, if we don't get you this week and any one meeting with Neil or Jason, they'll be in Chicago next week. Thanks, everybody. So, hope to see you soon. Thanks. Bye.
Operator: This concludes today's call. Thank you very much for your attendance. You may now disconnect your lines.